Operator: Good morning. My name is Regina, and I will be your conference operator today. At this time, I would like to welcome everyone to the Wells Fargo Third Quarter Earnings Conference Call. (Operator Instructions) After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) I would now like to turn the call over to Jim Rowe, Director of Investor Relations. Mr. Rowe, you may begin your conference.
Jim Rowe: Thank you, Regina, and good morning, everyone. Thank you for joining our call today during which our Chairman and CEO, John Stumpf; and our CFO, Tim Sloan, will review third quarter results and answer your questions. Before we get started, I would like to remind you that our third quarter earnings release and quarterly supplement are available on our website at wellsfargo.com. I’d also like to caution you that we may make forward-looking statements during today’s call that are subject to risks and uncertainties. Factors that may cause actual results to differ materially from expectations are detailed in our SEC filings; including the Form 8-K filed today containing our earnings release and quarterly supplement. Information about any non-GAAP financial measures referenced, including a reconciliation of those measures to GAAP measures can also be found in our SEC filings, in the earnings release, and in the quarterly supplement available on our website. I will now turn the call over to our Chairman and CEO, John Stumpf.
John G. Stumpf: Thank you, Jim. Good morning, everyone, and thanks for joining us today. Our results in the third quarter demonstrated the underlying strength of our diversified business model and our ability to earn more of our customers’ business, driving outstanding performance throughout our franchise. Let me quickly review some of the highlights of the quarter. We achieved record net income up 22% from a year ago and EPS was also up 22%. Revenue grew 8% and pre-tax pre-provision profit increased 14% from a year ago. Our core loan portfolio grew 6% and core deposits were also up 6% from a year ago. We had positive operating leverage and our efficiency ratio improved by 240 basis points from year ago. We had continued strong underlying credit performance. Our profitability ratios reflected these strong results with a return on assets growing to 1.45%, up 19 basis points from year-ago, the highest it’s been in five years. Our return on equity increased to 13.38%, up 152 basis points from a year-ago. Our estimated Tier 1 common equity ratio under Basel III reached 8.02% as we continue to have strong capital growth while remaining focus on returning more capital to our shareholders. This strong performance during a period of slow and uneven economic growth was driven by momentum across Wells Fargo’s diversified businesses. We have a broad set of products that enables us to meet all of our customers’ financial needs, which is reflected by our record retail banking cross-sell this quarter of 6.04 products per household. In the current low rate environment, our mortgage business continued to benefit from the strong refi and purchase volume. And credit quality reflected an improving housing market. Our credit card business is successfully generating new account growth, up 46% from a year-ago, and we are focused on increasing customer card usage, which is generating strong balance and fee growth. We’ve grown managed account assets in our retail brokerage business over 25% in the past 12 months driven by strong net flows and market performance. Our wholesale banking business continues to meet the financial needs of our commercial customers generating nine consecutive quarters of loan growth from our middle market customers. We are also meeting the lending needs of our small business customers with $11.4 billion of new loan commitments so far this year, up approximately 30% from a year ago. These are just a few examples of the momentum we have throughout our businesses as we remain focused on better serving our customers, while we continue to be diligent in managing our costs and risks. Our ability to meet a broadly diversified set of customer needs throughout a variety of economic cycles is a clear Wells Fargo advantage, and contributed to another strong quarter for our company. Tim Sloan, our Chief Financial Officer, will now provide more details on our financial results. Tim?
Timothy J. Sloan: Thanks, John, and good morning, everyone. My remarks will follow the presentation included in the first half of our quarterly supplement starting on Page 2, and then John and I will take your questions. As John highlighted, we had a very strong quarter, with record earnings of $4.9 billion, up 7% from the second quarter. Earnings per share were a record $0.88, up 7% from last quarter, our 11th consecutive quarter of EPS growth and the 6th consecutive quarter of record EPS. Our ability to consistently generate earnings growth reflects the benefit of our diversified business model. We are balanced between fee and spread income, and our sources of fee generation are also very diversified. As John highlighted, we had many businesses serving our commercial and consumer customers that had strong growth this quarter, and I’ll provide more examples throughout my comments today. I’m going to highlight some of the key drivers of our results this quarter starting on Page 4, and then I’ll discuss them in more detail later in my remarks. We had strong balance sheet growth in the quarter. We grew both our total and core loan portfolios with growth in commercial and consumer portfolios. We once again had strong deposit growth with balances up $23 billion. Turning to credit, we continue to have strong underlying credit performance this quarter. However, our reported results were affected by regulatory guidance issued to the industry by the OCC. The guidance covers consumer loans that are current or less than 60 days delinquent, where the borrower has declared bankruptcy. The implementation of this guidance resulted in a $1.4 billion reclassification of performing consumer loans to non-accrual and a $567 million in net charge-offs, which was fully covered by our loan loss reserves. Absent this change, credit performance continued to improve, which I’ll also highlight later on the call. Turning to the income statement, net interest income was down as our net interest margin declined as expected from the second quarter. We had strong non-interest income growth across a number of our businesses this quarter, and we remain focused on reducing expenses, and we generated positive operating leverage. Let me now cover our business drivers in more detail. As shown on page six, period-end loans were up $7.4 billion in the second quarter, with growth across a number of commercial and consumer portfolios. The liquidating portfolio declined by $4.5 billion, and our core loan portfolio grew by $11.9 billion. We’ve now grown our core portfolio for eight consecutive quarters. Commercial loans declined $1.5 billion as growth in C&I and real estate construction loans was offset by declines in our real estate mortgage loans, leases, and foreign portfolios. Consumer loans increased by $8.9 billion, with growth in first mortgage, auto, credit card, and private student lending. The growth in our first mortgage portfolio was due to our decision to retain $9.8 billion of new conforming fixed rate production, with most of this coming later in the quarter. While retaining these mortgage loans on our balance sheet reduced mortgage revenue this quarter, we expect to generate spread income in future quarters for mortgage loans with higher yields than mortgage-backed securities we could have purchased in the market. We are in a unique position to have a large enough mortgage business and strong capital to be able to make these choices that should benefit long-term results. We currently expect to retain additional conforming mortgages in the fourth quarter. Average loan balances increased $8.5 billion from the second quarter, benefiting from the strong consumer loan growth in the late second quarter close of the WestLB portfolio. Deposit growth remained strong this quarter with average deposits up $22.5 billion from the second quarter and up $63.9 billion, or 7% from a year ago. Average core checking and savings deposits were up 9% from a year ago and were 94% of average core deposits. We continue to benefit from lower deposit costs with average deposit costs of 18 basis points in the third quarter, down one basis point from the second quarter and down seven basis points from a year ago. We’ve successfully grown deposits, while reducing our deposit costs for eight consecutive quarters. Tax equivalent net interest income declined $393 million from the second quarter. average earning assets grew $26.3 billion linked-quarter with growth in short-term investments and mortgages held for sale. as we expected, the NIM was under pressure this quarter. The 25 basis point decline in the net interest margin was driven by three primary factors. First, variable income declined from strong second quarter levels, which accounted for 10 basis points of the linked-quarter decline in the net interest margin. second, approximately eight basis points of the margin pressure was driven by continued balance sheet repricing, as higher yielding earning assets ran off, and we were cautious in our reinvestment activity focusing on shorter duration securities. Specifically, six basis points of the decline was from our available-for-sale portfolio and two basis points of the decline was from the loan portfolio. Third, the remaining seven basis points was driven by strong deposit growth we had in the quarter and invested in short-term investments in Fed funds sold. As we’ve highlighted for the past year or so, we expect continued pressure on the net interest margin, given the slow rate environment. however, we don’t believe, the net interest margin decline we had this quarter is representative of what we’ll see in the future. Noninterest income increased $299 million from the second quarter, up 3%. growth was broad-based and included a 6% increase in deposit service charges, which was driven by product and pricing changes that we have now rolled out throughout our geographies. Trust and investment fees grew $56 million, or 2% from the second quarter, reflecting strong asset-based fees in retail, brokerage, and asset management, as well as higher retail brokerage transaction volume. Credit card fees increased 6% from the second quarter, driven by new account growth and higher volumes, including a 5% increase in credit card transactions. Trading gains were up $266 million with $153 million of higher deferred compensation plan investment income, which was offset in employee benefit expense and stronger customer accommodation trading results. Mortgage banking revenue declined $86 million from the second quarter, driven by lower servicing income. The decline in servicing income was primarily due to a $350 million reduction in our MSR valuation for updating servicing and foreclosure costs. the ratio of MSRs to related loan service for others was ahead a historical low 63 basis points. Mortgage gain on sale revenue was up $396 million from the second quarter, despite approximately $200 million in forgone revenue from retaining conforming mortgage loans, which I mentioned earlier. Third quarter results included a $462 million provision for mortgage repurchase losses, which was $207 million lower than the second quarter. Mortgage originations were $139 billion in the third quarter, up $8 billion from the second quarter and up $50 billion from a year-ago. 14% of our origination volume this quarter was from HARP. The unclosed mortgage pipeline at quarter end was $97 billion, down from last quarter, but still very strong and volume during the first few weeks of October has accelerated as rates reached new lows. Turning to expenses, we continue to make progress in reducing costs. Non-interest expenses were down $285 million from the second quarter. This decline includes lower personnel expenses from lower severance costs. Operating losses were down $243 million on lower litigation accruals. Our litigation reserves consider all litigation matters we are aware off including the recently announced FHA lawsuit. Insurance expenses declined $132 million due to seasonally lower insurance commissions. Our efficiency ratio continued to improve down to 57.1%, the lowest level in 10 quarters, and within our target range of 55% to 59%. We expect to be within this range in the fourth quarter. While we are pleased with the progress we’ve made, we remain focused on managing the expenses even as we continue to benefit from strong revenue opportunities throughout our businesses. Turning to our segment results starting on page 11; community banking earned $2.7 billion in the third quarter, up 8% from the second quarter. Retail banking achieved a record cross-sell of 6.0 products per household, up from 5.9 a year-ago. Cross-sell in the West grew to 6.4 and reached 5.56 in the East. We continue to have strong partner referrals including such products as insurance, mortgage, and student lending, which were up more than 30% from a year ago. To support future growth, we consistently have invested throughout our franchise. For example, we increased platform banker FTEs in East by more than 500, or 5% from the second quarter. Wholesale Banking earned record net income of $2 billion in the third quarter, up 6% from the second quarter. The results this quarter reflects strong fee income, solid loan growth or expenses and improved credit quality. Credit losses in Wholesale Banking were just eight basis points this quarter, reflecting higher recoveries and improved performance. We had strong results across a number of our wholesale businesses. Let me give you a few examples. Within our CMBS capital markets business, we increased our market share from 8% in the second quarter to 15% in the third quarter as we securitize more of our home loans and also better met the securitization needs of our customers. Our asset management business grew assets under management by 3% from the second quarter and Wholesale Banking’s cross-sell increased to 6.7, up from 6.5 at year-end 2011. Wealth, Brokerage and Retirement earned $338 million, down 1% from the second quarter, reflecting lower net interest income partially offset by higher brokerage transaction and asset-based revenue, and lower net charge-offs. WBR client assets were up 4% from the second quarter, including strong growth in average core deposits up 2% and retail brokerage managed asset accounts up 7% driven by strong net flows and market performance. Our continued focus on meeting our customers’ financial needs is reflected in achieving a record cross-sell ratio of 10.27 products for WBR household, driven by growth in retail banking products. Turning to credit quality, as I highlighted at the beginning of my remarks, our reported credit metrics were impacted by the implementation of the OCC industry guidance related to bankruptcies. Page 14 highlights that our underlying credit trends adjusted for this impact continued to improve. Let me review our trends adjusted for this impact. Net charge-offs declined $409 million from the second quarter, and were 92 basis points of average loans. Provision expense was $1.6 billion in the third quarter, down $209 million from the second quarter reflecting better credit performance. Absent significant deterioration in the economy, we continue to expect future reserve releases. Another sign of improving underlying credit trends was a $4.3 billion addition to the accretable yield balance primarily from our Pick-a-Pay portfolio. $3.6 billion was due to an increase in expected cash flows that did not affect the non-accretable difference and $687 million of the increase was a re-classification from non-accretable difference to accretable yield. These increases reflect an improved housing market forecast and credit outlook, and will be recognized through net interest income over the expected life of these loans, which increased to approximately 13 years for our Pick-a-Pay portfolio. Non-performing assets were down $1.1 billion from the second quarter, and were 3.04% of total loans. Loans 90 days or more past due increased $132 million from the second quarter reflecting normal seasonality in consumer loans, but were down $437 million from a year ago. Early stage consumer loan delinquency balances and rates also increased from the second quarter due to seasonality, but were significantly better than a year ago. Page 17 is just a reminder of the quality of our mortgage servicing portfolio with over 70% of the portfolios being with the agencies. The quality of our portfolio is demonstrated by the low delinquency and foreclosure rate on our servicing portfolio, which was over 400 basis points lower than the industry average, excluding Wells Fargo, based on the most recently publicly available data. Our total delinquency and foreclosure rate was 7.32% in the third quarter, down from 7.63% a year ago and a peak of 8.96% in the fourth quarter of 2009. We added $462 million to our repurchase reserve this quarter, down $207 million from the second quarter. Our repurchase reserve considers both outstanding reserves and also our future expectations for demands. Our repurchase reserve balance increased $269 million from the last quarter, reflecting $156 million of lower losses. New demands from GSCs were actually down in the third quarter; however, our outstanding repurchase demands were up from the second quarter. This increase reflects higher non-agency demands primarily due to new demands that have been previously reserved for. Agency outstanding demands were also up linked- quarter, which reflected the demands from increased file requests we highlighted last quarter, as well as the time it’s taking to work through those demands with the agencies. As shown on page 19, our Tier 1 common equity ratio was 10.06%, down 2 basis points from the second quarter. Our third quarter ratio reflects refinement to the risk weighting of certain unused leading commitments that provide for the ability to issue standby letters of credit, which reduced the ratio by 32 basis points. Importantly, this update did not affect our estimated Tier 1 common equity ratio under Basel III capital proposals, which grew to 8.02% in the third quarter. We continue to have a very strong capital position. We purchased 16.5 million shares in the third quarter, and entered into a forward repurchase transaction for an estimated 9 million shares, that is expected to settle in the fourth quarter. As we’ve highlighted throughout the call today, we had demonstrated momentum across our franchise as reflected in growth across a diverse group of consumer and commercial businesses. We have many examples listed on page 20. The main point is that across cycle different businesses drive our growth, which has been the reason for our consistent performance. In summary, our balanced business model produced strong results again this quarter. We once again achieved record earnings and EPS. We grew pre-tax pre-provision profit, achieved positive operating leverage with reduced expenses, and had strong underlying credit performance. Our ROA increased to 1.45%, the highest in five years, and within our target range of 1.3% to 1.6%. Our ROE grew to 13.38% also within our target range of 12% to 15%. Our ability to achieve this growth in the low rate environment that is putting pressure on our net interest margin, and in a quarter when mortgage revenue actually declined slightly, clearly demonstrates the underlying momentum we have across our franchise. I’ll now open the call up for questions.
Operator: (Operator Instructions) Your first question will come from the line of Erika Penala with Bank of America/Merrill Lynch.
John G. Stumpf: Good morning, Erika.
Leanne Erika Penala – Bank of America/Merrill Lynch: Good morning. My first question was on the margin. Is there a seasonality in terms of deposit flows, because you have $92 billion average cash this quarter, and it was $98 billion last year same quarter. I’m just wondering, we had sort of a similar step down, and more stability in other quarters. I'm just wondering, if there is a seasonality in deposit flows that we hadn’t been taken to account?
Timothy J. Sloan: Erika, that’s a good question. I think throughout the year you can see some seasonality in our deposit flows. I wouldn’t necessarily conclude that every third quarter we’re going to have deposit growth like we had in the third quarter of last year and this year. But there is no question that part of the – and a big reason for the net interest margin decline was because of the strong deposit flows particularly what we saw in September.
Leanne Erika Penala – Bank of America/Merrill Lynch: And it’s clear that the momentum in core loan growth should absorb some of that excess cash on a go-forward basis. But could you give us a sense of how you plan to deploy and how much of it of the excess cash that you plan to deploy on a go-forward basis, your reinvestment strategy that’s not soaked up by core loan growth?
Timothy J. Sloan: Well, the first call on any of our liquidity is for our customers, and it’s really going to be focused on core loan growth. As you saw this quarter, we decided to hold $9.8 billion of our confirming first mortgage portfolio primarily, because we viewed it as a very good investment opportunity for us, given the risk award of holding those mortgages, which were very high-quality versus buying a similar duration MBS at a big premium. We were very cautious this quarter in terms of how we thought about our investment alternatives, and we are doing that, because we are thinking about the investment portfolio for the long-term.
John G. Stumpf: And Erika, I think that Tim is absolutely right on that. We are going to be very careful at this point in time, not to just go out there and stretch for yield and take on a lot of interest rate risk.
Leanne Erika Penala – Bank of America/Merrill Lynch: Okay.
John G. Stumpf: But the first call is always for our customers.
Leanne Erika Penala – Bank of America/Merrill Lynch: Okay. And just one last question on the margin, and I’ll step off. On slide 15, you mentioned that there was a $4.3 billion increase in the accretable yield, I guess the way I’m thinking about this is, as the housing market in the U.S. recovers, you can continue to reclassify more of the non-accretable into accretable. And so that’s clearly going to be margin support on a go-forward basis. And the negative impact that you’ve mentioned on the margin this quarter, is that have to do with lower cash resolutions from the Wachovia legacy book than last quarter? And my thinking about the components put that way?
Timothy J. Sloan: No. That’s correct. The 10 basis points that we called out in the supplement was primarily because of lower resolutions, and as we mentioned, in second quarter, at higher resolutions, those are going to be volatile on a quarter-to-quarter basis. But you’re absolutely correct when you think about the impact on the non-accretable yield to accretable yield and then the expectation of cash flows from that portfolio that as the housing market continues to improve that we’ll get benefit there.
Leanne Erika Penala – Bank of America/Merrill Lynch: Got it. thank you for taking my questions.
John G. Stumpf: Thanks, Erika.
Operator: Your next question will come from the line of Moshe Orenbuch with Credit Suisse.
Moshe Orenbuch – Credit Suisse: Tim, could you perhaps maybe just drill down a little more into what you’re seeing from the agencies in terms of the put backs, and you talked about a little bit, could you kind of just – I mean some of your competitors have already kind of had their reserves to the point where they’re beginning to drive them down, could you talk about that a little bit?
Timothy J. Sloan: Sure. As we mentioned, we added $462 million to their purchase reserve this quarter, which was down from the second quarter, which was $669 million. There is a little bit of noise in the puts and takes here, because the new agency demand levels were actually down. so this sort of new agency demands were down this quarter, which is a good sign. I don’t necessarily think that it means we should declare victory and there are always going to be down, but that’s a good sign that we haven’t seen for a while. The outstanding demands from the GSEs were actually up a little bit, and this reflects a couple of things; one, remember our expectations from last quarter as well as the fact that it’s taken a little bit longer to work through our file request. But the non-agency demands were actually up this quarter. So, there’s a lot going on there. and we continue to have a lot of discussion with the agencies, but there’s nothing that we’ve seen yet that would indicate that the decline that we saw this quarter is certainly a trend I hope it is, but I can’t guarantee you that that’s going to be the case.
John G. Stumpf: There are a couple of big, you step back a little bit, a couple of issues that are encouraging, first of all, real estate is getting better. we start in housing a year ago and every quarter we have more confidence that this, we’re not back to where we need to be and it’s not as robust as we’d all want it to be. But that’s good on the repurchase side as values go up. And secondly, we continue to get further and further away or it’s further and really a mirror, the 2006 and 2008 portfolio. So every quarter we go, we’re getting through that. So those are things that are encouraging.
Moshe Orenbuch – Credit Suisse: Great, just on the mortgage banking front, a couple of just interesting trends, it looks like you took the pedal off on the correspondent business of touch, and at the same time, took the valuation of your MSR down whereas the JPMorgan had taken it up a little bit. Just talk a little bit about how we should think about the interplay of, both origination volumes into the fourth quarter in 2013, and maybe perhaps the valuation to MSR?
Timothy J. Sloan: Sure, I’ll start with origination volume. We ended the quarter with a pipeline that was a little bit less than the second quarter, but it almost $100 billion, it’s still very strong.
Moshe Orenbuch – Credit Suisse: Right.
Timothy J. Sloan: And as we mentioned, volume has been strong so far this quarter being the fourth quarter. So we expect to have a pretty strong mortgage quarter in the fourth quarter. How long that last, don’t know for sure, but it feels like, it’s going to last at least a few quarters, and obviously, we hope it does. In terms of the MSR valuation, the change that we made this quarter was just to continue to take into consideration, the higher servicing and the foreclosure costs that we’re seeing and to include that in the valuation of our MSR and that yielded $350 million write-down.
Moshe Orenbuch – Credit Suisse: Great. Thank you.
Timothy J. Sloan: You’re welcome.
Operator: Your next question comes from the line of Joe Morford with RBC Capital Markets.
Joseph Morford – RBC Capital Markets: Thanks, good morning.
John G. Stumpf: Good morning.
Timothy J. Sloan: Hi, Joe.
Joseph Morford – RBC Capital Markets: Just first following up on the mortgage, can you just also comment about gain on sale margin trends in the quarter and were they materially hired at all that you’ve been, that means quarter end?
Timothy J. Sloan: No, they were 2.21%, which was about what it was in the second quarter at 2.2%.
Joseph Morford – RBC Capital Markets: Okay. And then beyond that, any thoughts on the potential impact of that, the Fed’s NPRs, now you’ve had more insight looking at that. And also just going into CCAR 2013, any thoughts about, you maybe, your approach in it would be any difference than last year?
Timothy J. Sloan: Yeah, in terms of the NPRs, the Basel III estimate that we have for Tier 1 common equity takes into consideration a relatively conservative implementation of those. So the 8.02% number, we feel it’s a pretty solid number based upon what we know today. We haven’t gotten any further updates or indication just because it’s a working process right now. As it relates to CCAR, we’re really looking forward to going through a CCAR and we’re looking forward to presenting our submission in the first quarter, because it’s the way that we can continue to increase our capital return to our shareholders. And as you know, we had a very successful CCAR process this last year and our expectations are else we will have another successful one.
John G. Stumpf: Let me reiterate what Tim just said, which is really important. We are really focused on getting more capital back to our stockholders. That is, best way to do that is perform well as we’re doing and have, the capital we have and Tim said, it’s a lot of work to CCAR and we’re looking forward to it.
Joseph Morford – RBC Capital Markets: Okay, that’s helpful. Thank you.
Timothy J. Sloan: Thanks, Joe.
Operator: Your next question will come from the line of Scott Siefers with Sandler O’Neill.
Scott Siefers – Sandler O’Neill & Partners L.P.: I just want to ask another question on the margin. Is there anything that like surprised you in September, I guess just relative to where you’ve been suggesting the month or so or ago that would be came in a little worse than that guidance? And then I guess along those lines, I think in the past you’ve been pretty clear that you expected the margin to come under pressure, but by the same token I’d hope that NII would be able to continue to grow. Do you think you can offer this quarter’s base still generate positive NII growth?
Timothy J. Sloan: Yeah, so, a few questions in there all good ones. The first one, our deposit growth was a little bit stronger in September than we had expected, which again is terrific, that’s the way that we get most of our customers into the Wells Fargo. So we are happy with that. And secondly, we had a fewer resolutions than we had estimated. But I think it’s really important to step back and just reflect on what’s happened with our net interest margin over the past year. Certainly, the 25 basis point decline this quarter is high, but when you think about it year-over-year, our net interest margin is down 18 basis points. So when you think about what happened during that year, on a net interest margin decline of 18 basis points, our net interest income is up 1%, we’ve grown deposits by $51 billion. We’ve originated $519 billion of residential mortgages. Our efficiency ratio has improved from 59.5% to 57.1%. And so when you total all this up, and I’m sorry, and credits improved and even adjusted for the OCC guidance, our loan losses were down 50 basis points. I say all that, because while net interest margin is an important factor to look at. What we really focus on is, earnings per share, and earnings per share were up 22% over that same period. And I think that really reflects the strength of our diversified model. There is no question that in this slow rate environment, the NIM will continue to be under pressure. Again, we don’t believe that the 25 basis point decline that we saw this quarter is representative of what we’ll see in the future. But what we do believe is that, our performance is going to be representative of what we are going to see in the future, because we’ve got a very strong diversified model. And in answer to your last question, I do believe that, we can grow net interest income over time even in the phase of a declining net interest margin.
Scott Siefers – Sandler O’Neill & Partners L.P.: Okay. Perfect. That’s a helpful color, I appreciate it. And then I just wanted to switch back to the decision to portfolios, some of the conforming mortgage as well. I definitely understand the rationale relative to some of the other investment alternatives that you would have, but I guess by the same token, putting on mortgages at historically low rates, potentially introduces some high risk of its own into the future. I guess, how did you kind of square that dynamic when you guys thought about it?
Timothy J. Sloan: Yeah, I think it’s a very fair point, a good question, because any time we put any asset on the books, we’ve got to think about the risk. It’s not only about what kind of return we can get in the short-term, but it’s about the risk of owning that asset whether it’s a loan or a security, or whatever. And so in making this decision, we took into consideration interest rate risk, credit risk, as well as concentration risk, and we are very comfortable given the size of our loan portfolio and the level of our liquidity and the level of interest rate risk that we have at the company that this incremental increase of $9.8 billion and the incremental mortgages that we mentioned that we will likely put on this quarter on the balance sheet is not going to significantly or materially affect our interest rate risk or credit risk.
Jim Rowe: If you think about this, we’ve done this in the past. And again, it’s one of the tools that we have, one of the leverage we can pull, and we see a very nice, a difference between the yield there versus if we bought RMBS as a security. And again, then you are paying 105 or 106, you are paying a premium and those things pay half yearly you know that premium amortization. So there is a lot of bouncing here. But we’ve done this before, we’re aware of that, it’s something that we think about it.
Scott Siefers – Sandler O’Neill & Partners L.P.: Okay, perfect. Thank you very much.
Timothy J. Sloan: Thank you.
Operator: Your next question will come from the line of Ed Najarian with ISI Group.
Edward R. Najarian – ISI Group Inc.: Hi, good morning, guys.
John G. Stumpf: Hi, Ed.
Timothy J. Sloan: Hello, Ed.
Edward R. Najarian – ISI Group Inc.: So a couple of quick questions here. Just first in terms of retaining the conforming fixed-rate mortgages the $9.8 billion. Why is that a better decision then maybe retaining jumbo is that, might have a higher yield and have equal or better credit quality?
John G. Stumpf: Oh, Ed, yeah, we do that too.
Timothy J. Sloan: Absolutely.
Edward R. Najarian – ISI Group Inc.: Given your giant origination volume, can’t you just do more of that versus 30-year fixed conforming?
John G. Stumpf: Well, we would like to do more of that and we’ve got a very strong nonconforming or jumbo origination capability and we want to and we’ll continue to grow that. But in addition to that, we thought it was a good idea given the risk written alternatives to hold these conforming mortgages too. And this is just an example of how we think about managing the company for the long-term. I mean, we could have taken that $9.8 billion and had a gain on sale, which would have been fine and increase the short-term earnings, but we thought it was better to hold these high credit quality mortgages to generate income over a longer period of time. And again we’ve retained all of our nonconforming jumbo mortgages, we do not sell those.
Edward R. Najarian – ISI Group Inc.: Okay. And then given what you’ve done to sort of the overall accretable yield balance, taking that number up to almost $19 billion, which you talked about previously. Should we expect $495 million of quarterly accretable yield to NII to be a higher number in future quarters?
John G. Stumpf: Yeah, it’s going to be higher. I would describe it as being slightly higher, because it’s over a longer period of time, 13 years plus. There is the disproportion of return that comes towards the end of the term of those mortgages, but there is no question, it will have a slightly positive impact on the net interest margin.
Edward R. Najarian – ISI Group Inc.: Okay, thanks. And then this question is again kind of specific to the margin. Looking at your C&I and your real estate mortgage yield, you’re sort of prepared for the big drop in the commercial real estate mortgage yield from $462 million to $405 million, because I think that was obviously insulated into 2Q from the cash recoveries. But we also saw a pretty big drop in the yield on the C&I portfolio itself. Is there something going on in there other than the rate environment and competition, was there is some cash recovery in there as well in 2Q?
Timothy J. Sloan: There was a little bit of cash recovery in the second quarter. And again, you also have the impact of the liquidating portfolio kind of running off. But I wouldn’t – and again if you look back even on a five quarter basis, you’ve seen some volatility in that number. But there is also an impact from some lower loan recoveries that we got in the second quarter. But I would necessarily look at that decline, the level of that decline a trend.
Edward R. Najarian – ISI Group Inc.: Okay. Would you feel like that $384 million number on the C&I yield is something that should remain more stable going forward?
Timothy J. Sloan: Gosh, I hope so. There is no question that there is a fair amount of competition out there for assets. I don’t – but again, I don’t think you should look at the $421 million to $384 as a trend that you are going to see on a quarterly basis. There certainly could be some impact and some future decline, but the 384 number feels pretty good.
Edward R. Najarian – ISI Group Inc.: And then lastly and I’ll stop.
Timothy J. Sloan: Yeah.
Edward R. Najarian – ISI Group Inc.: On operating costs, probably absorbing clearly to next year costs related to the strong mortgage origination pipeline and volume. can you maybe frame operating expenses for us over the next few quarters sort of in two pieces: number one, what we might see in terms of core expense reductions and – apart from mortgage? And number two, what we might see in terms of savings on the mortgage side as the refi volume ultimately comes down?
Timothy J. Sloan: Well, our guess as it relates to the best estimate in terms of the refi volume is that that’s going to continue on for a few quarters. so I don’t expect any sort of decline in expenses until that occurs. And it’s again, I doubt it’s going to be next quarter, the quarter after that. In terms of other expenses, clearly, and when you look at the mortgage business, we have other environmental expenses that are elevated for things like the consent order, the servicing settlement, and just the fact that, well, the portfolio has continued to improve, we still have higher than normal cost. And my guess is that those are going to start begin to tail down some time probably in the second half of next year. and in terms of, then just the base operating expenses, as John mentioned, as I mentioned, we’re continuing to look at expense reduction in the company, but we want to do it in a way that’s very focused on the efficiency ratio, because in this environment while we want to be more efficient, we don’t want to give up good revenue opportunities. John, I don’t know.
John G. Stumpf: Yeah. Let me maybe expand that a bit. Ed, you’re asking the right question. We still think expenses are too high here. But we’ve also said we’re not going to be slavish to a number and turn away revenue. So if we look year-over-year compared to the third quarter of ’11 we’re up now in the expenses of $500 million, but our revenue was up $1.6 billion. So, we think that was a good trade. That being said, we can be more efficient. there are some expenses that we’re getting through compliance and consent and other things that we’ll get better at, that will go away. but even in spite of all of that, we still think we have – our operating expenses are too high and we’re focused on that, but we want to do it smartly. And a 57% efficiency ratio, we’ve come a long way from the low 60s. And we’ve picked up 240 basis points in a year and we still think we have more room to go. And that’s well within our guidelines of 55% to 59%.
Edward R. Najarian – ISI Group Inc.: Okay. That’s very helpful. Thanks guys.
John G. Stumpf: Thanks, Ed.
Operator: Your next question will come from the line of Andrew Marquardt with Evercore Partners.
Andrew Marquardt – Evercore Partners: Good morning, guys.
Timothy J. Sloan: Hi.
John G. Stumpf: Good morning.
Andrew Marquardt – Evercore Partners: Just on – just back to the margin commentary, can you help us frame just kind of the magnitude of how much pressure we should still expect going forward, after the re-stepping down to 366 ranges, is it going to be in the 5 to 10 range or how do we think of the output given, the number of moving parts still?
Timothy J. Sloan: Yeah, I know it can be a little bit frustrating to try to predict any sort of decline in the net interest margin. And part of that is because on a quarterly basis, it can be pretty volatile. I mean if you look back a year ago in the third quarter, our net interest margin was down 17 basis points and then it was up in the fourth quarter, and then it was flat for a couple of quarters. So if you step back and look at it year-over-year, it’s being down 18 basis points. Could we see another 18 to 20 basis points decline in the year, sure we could. Could it be up to 25, you bet. Could it be 15, right, and so that you could see that much change, but we could also see another quarter in the next quarter where it’s up. Again what we focus on, right, is not managing to the net interest margin and again reason for that is the following. We could have easily increased our net interest margin by making some bad short-term decisions. For example, we could increase the duration of our investment portfolio. We could go out and buy a lot of securities that have good short-term yield, but have higher credit risk, right. That maybe a good short-term decision in terms of managing to the net interest margin, it could be a bad long-term decision in terms of how we’re managing this company for the long-term, which again is why we don’t spend the whole lot of time being focused on managing to that margin, but again back to the original question, “Could we see the same kind of decline year-over-year that we’ve seen this year?” We certainly could.
John G. Stumpf: And the other side, think of it, the other half of our revenue comes from non-interest income. And we’ve shown very good growth in that area. So even though as we gain new households, new customers, if they are not borrowing or if spreads are lower there, we do a lot of other things with these folks. And we’ve seen good growth in that area. So overall revenue, year-over-year up 8% those are pretty good numbers.
Andrew Marquardt – Evercore Partners: Got it. And then I hear correctly from the earlier question, I think it was Scott, who asked that the NII should and can’t improve from here despite the pressure on a linked quarter basis.
Timothy J. Sloan: Yes, yes, absolutely.
John G. Stumpf: Sure.
Andrew Marquardt – Evercore Partners: Okay. And then is the margin pressure, is this going to last for year and I guess feels like the industry through next year as well, if this current environment remains?
Timothy J. Sloan: Yeah.
Andrew Marquardt – Evercore Partners: Okay. And then on expenses, the target of 55% to 59%, should we think about that being a target that for next year as well?
John G. Stumpf: Yeah, we should. Yeah, that’s a good question. We announced the 55% to 59% at Investor Day in May. And we did at Investor Day because we didn’t want that to be viewed as a range that was for one quarter, two quarter. That’s the range that we believe that we can operate in. Again there’s going to be some seasonality in our expenses. Our expenses are generally up a little bit in the first quarter because of compensational related items. But we think that we can operate within that range, and will be using that range for the time being.
Andrew Marquardt – Evercore Partners: Great, thank you.
Operator: Your next question will come from the line of Matt O’Connor with Deutsche Bank.
Matthew O’Connor – Deutsche Bank Securities: Good morning.
John G. Stumpf: Hey, Matt.
Timothy J. Sloan: Hey, Matt.
Matthew O’Connor – Deutsche Bank Securities.: I want to follow-up on something Tim, I think you just said about the mortgage related costs, relates like legacy assets or the environmental costs as referred to them. You said something about hopefully those start to tail off back half of next year. I realize this is probably somewhat of a guesstimate like, why is it taking so long for those cost to come down with loan price just raising and some more guidelines on the servicing side? I think what do you think it could be another year, before we see a meaningful decline in those areas?
Timothy J. Sloan: Let me separate them into two groups, Matt. The costs that related to just managing the portion of the problem loan portfolio, whether it’s in mortgage or anywhere else within the company, and those are continuing to come down. And so I didn’t mean to imply and apologize if I did that that, that we are – we don’t think those are going to come down until next year. The cost that I was referring to are, what I would describe as the environmental cost related to complying with the consent order and also the servicing settlement and those are works in process right now and it’s going to take us through next year to be able to – to work through the servicing settlement and comply with the consent order. So there is really kind of two different categories Matt.
John G. Stumpf: And for example, the new supervisory standards just became effective I think October 1, I mean now we have a front run in that, but it takes a while to get those really worked into your system and become efficient on those.
Matthew O’Connor – Deutsche Bank Securities.: And how much are the cost, how much are those the consent and serving delay cost in the third quarter?
John G. Stumpf: Yeah, what we disclosed in the supplement that is the third-party costs related to the consent order about $100 million a quarter and as it relates to the cost for the servicing settlement, we didn’t disclose those, but assume there is some addition to that.
Matthew O’Connor – Deutsche Bank Securities.: Okay. So I guess the bigger portion though is just the cost of servicing some of the troubled borrowers, that part is coming down, because I’d think that’s the biggest piece of your…
Timothy J. Sloan: That will continue to come down as the portfolio continues to improve, which is what we’ve been seeing.
Matthew O’Connor – Deutsche Bank Securities.: Okay. And then just separately on the mortgage side, how elevated are the production related expenses just like in an absolute dollar, what are those costs this quarter?
Timothy J. Sloan: Now, I’m not going to disclose that, because then everybody know exactly what our margins are and that’s a important from a competitive standpoint.
Matthew O’Connor – Deutsche Bank Securities.: Is there anything you can size around like year-over-year expenses are up X and X% of that is due to higher mortgage or anyway to frame that a little bit for us?
John G. Stumpf: No.
Matthew O’Connor – Deutsche Bank Securities: Okay.
Timothy J. Sloan: That it – it takes more time now to underwrite a loan, I mean there is more expense on that but we are working through those things.
Matthew O’Connor – Deutsche Bank Securities: I’m going to guess it’s at a very high level like, it seems like there’s some puts and takes on the production related expenses, a lot more legwork needs to be done to get loans approved whether it’s refi or purchase, yet, I think the headcount adds been a lot less for the industry and technology is better. So it’s just hard to put it all together. I mean it seems like there is some elevation on expenses, but maybe no there is much to say, few years ago when hiring’s were more meaningful.
Timothy J. Sloan: Well, Matt I think it’s a really fair question and in fairness state, the entire industry or anybody that’s in the mortgage business today there is a lot of change that’s going on. And so I think it’s hard to kind of put a hard dollar cost to, this has really been what the impact to the change because it’s still a work in process, I’d have to step back and just again focus on the overall efficiency ratio for the company, which has continued to improve over this last year as John said by about 2.5% and even in the last quarter by over 100 basis points.
Matthew O’Connor – Deutsche Bank Securities: Okay.
John G. Stumpf: But we are adding people to deal with volumes and to get the throughput.
Matthew O’Connor – Deutsche Bank Securities: You don’t disclose the headcount in the mortgage company, do you?
Timothy J. Sloan: Not separately, no.
Matthew O’Connor – Deutsche Bank Securities: Excellent. All right. Thank you.
John G. Stumpf: Thanks, Matt.
Operator: Your next question will come from the line of Ken Usdin with Jefferies.
Kenneth M. Usdin – Jefferies & Company, Inc.: Thanks, guys. Good morning. Just one more, you kind of all encompassing question on expenses. So understanding the efficiency ratio points that you make at the top of the company, and the progression that's been made with total expenses continuing to come down through the last couple of quarters, can you give us a framework of how to just think about the overall expense base, just going ahead, because I would think you still have some annualization of the cost savings programs, you’ve got the environmental costs that we just, that Matt just asked about. And then there is this unanswerable question right now about how much is in the mortgage business, but so can you just help us frame how are you going to be thinking about just the overall cost base from a dollar's perspective as we think about 2013 over 2012 just from an operating leverage perspective?
Timothy J. Sloan: Yeah, well, I think you made an important point there at the end. And that is, we're looking at operating leverage and we're looking at efficiency ratio. And so, we are not focused on saying, look, here is the hard dollar reduction that we want to see year-over-year. What we want to see is, we want to see sequential improvement in our efficiency ratio. Now again, the first quarter in every year is going to be a little bit different, but the way that we are measuring, our people who are measuring the businesses is to see that sequential improvement in the efficiency ratio. So we don't have a specific dollar target for next year, but we want to improve the efficiency ratio, so we can get down to stay in the middle to get down to the lower end of the range that we set.
John G. Stumpf: And I would also say that we want to make sure that for businesses like mortgage that have volume differences, one year could be much higher, when volumes do have, or the business contracts, we are able to adjust expenses in a similar way that's extremely important in that business.
Kenneth M. Usdin – Jefferies & Company, Inc.: So I guess the broad takeaway is that, next year you would still see the ability to improve the efficiency ratio from where it currently stands?
Timothy J. Sloan: Yeah, again let me, what we are looking for, the way that we measure our businesses internally is look for sequential improvement in operating leverage, in every business regardless of what the business is.
John G. Stumpf: Absolutely.
Timothy J. Sloan: Right. So that it takes into consideration not only the revenue opportunities that the businesses are seeing and you’ve seen that in our results this quarter across the broad in many businesses, but also asking them to become more efficient at the same time.
Kenneth M. Usdin – Jefferies & Company, Inc.: Okay, got. And my second question is just about the trust and investment fees business obviously had good sequential improvement. I was just wondering if you could provide a little color about the momentum you’re seeing there and also obviously, December was a tough environment on the volumes base side of things, but there were still growth in the business. So we’re seeing an incremental bit of momentum there in the core business and just any changes you’re seeing in terms of customer activity and the outlook for growth in that part of the company?
Timothy J. Sloan: I think a couple of things, one, we did see and we are continuing to see some momentum there. I think David Carroll, at our Investor Day did a terrific job in kind of walking through the opportunities that we see in that business, in his business and then in our investment banking business, John Stumpf did a nice job kind of walking you through that at Investor Day, so we’re seeing some good momentum. And I think the other thing that’s really important when you think about the trusts and investment fees is that, the mix is also improving, so that we’re seeing more of that the mix coming from advisory fees, and asset management fees as opposed to just transactional activity. So we’re optimistic that we can continue to grow not only within those businesses, but also that line item.
John G. Stumpf: And part of the secret sauce there is, David and his team’s ability to work across businesses within the company. So he worked very closely with the community banking side, led by Carrie Tolstedt, very closely with Dave Hoyt in the wholesale side. So there’s lots of work together, because many of our customers who call us their bank, keep their wealth some place else. So there is – we have huge opportunity in this business.
Kenneth M. Usdin – Jefferies & Company, Inc.: Okay, great. Thanks guys.
John G. Stumpf: Thank you.
Timothy J. Sloan: Thanks.
Operator: Your next question will come from the line of Paul Miller with FBR.
Paul J. Miller – FBR Capital Markets & Co.: Very much and I hate to go back to the NIM, but I want to talk a little bit about the securities portfolio. It did increase a little bit. But what type of – and you talked about this in the opening remarks about that some of the NIM pressure is coming from the securities portfolio, but what type of the CPR rates were you’re seeing, I know you had some really high yielding stuff that is probably prepaying very fast?
John G. Stumpf: Yeah. You know what Paul, it’s a fair question. I don’t have the CPR rates on an individual security basis handy. we can get back to you with that.
Paul J. Miller – FBR Capital Markets & Co.: Okay. And then, the other question is – and then the subhead, can you at least tell us where it’s coming on, is it coming on in the 15, once that new stuff coming on board?
Timothy J. Sloan: Well, there is no question that we saw some increase in the CPR levels in some of the newer securities. but again, we’ll get back to you with some more detail.
Paul J. Miller – FBR Capital Markets & Co.: What yield are you buying these securities on?
Timothy J. Sloan: What yield, I’m sorry, I’m sorry.
Paul J. Miller – FBR Capital Markets & Co.: Yeah, yeah.
Timothy J. Sloan: Open up, it’s whatever the yield is today in the market. I think that the more important point is that when we saw rates declined significantly, and then we saw the demand for the underlying securities really increased, so that you’re looking at buying these at a significant premium. That’s the point at which we said, you know what, this just doesn’t feel very good to us in terms of making a long-term decision and where we focused on keeping more of the conforming mortgages.
Paul J. Miller – FBR Capital Markets & Co.: Okay. and one real quick question, what is – you might release, you might have it somewhere, but I can’t see it. What is your annualized servicing fee?
Timothy J. Sloan: Our annualized servicing fee?
John G. Stumpf: On mortgage?
Timothy J. Sloan: Yeah.
Paul J. Miller – FBR Capital Markets & Co.: No, on the MS, for your servicing portfolio, I’m sorry guys.
John G. Stumpf: You mean the valuation...
Timothy J. Sloan: 63 basis points.
John G. Stumpf: You mean the valuation?
Paul J. Miller – FBR Capital Markets & Co.: That’s your capitalized cost of servicing. Your annualized servicing fee?
John G. Stumpf: 25 bps.
Timothy J. Sloan: 25 basis points.
Paul J. Miller – FBR Capital Markets & Co.: Okay. Thanks a lot guys.
John G. Stumpf: Yeah.
Operator: Your next question will come from the line of Mike Mayo with CLSA.
John G. Stumpf: Hey, Mike.
Michael Mayo – Credit Agricole Securities: Hi, my question is on mortgages past, present, and future. so let’s start with the mortgages past, I mean the decision to retain the mortgages on the balance sheet, do you still have the option to sell those retained mortgages, because you’re passing up some revenues today, it’s tying up more capital and there is a tradeoff there, isn’t there?
John G. Stumpf: Sure. There is.
Timothy J. Sloan: Sure.
John G. Stumpf: And we think it’s a good tradeoff to make today, but holding these mortgages today doesn’t preclude our ability to sell them in the future.
Michael Mayo – Credit Agricole Securities: So you could sell them today or in a month or in three months, you think?
John G. Stumpf: Well, I don’t think we could sell them tomorrow, but we could sell them in the future certainly.
Timothy J. Sloan: You have to securitize them and…
Michael Mayo – Credit Agricole Securities: Okay.
Timothy J. Sloan: You got to get him wrapped and – but yeah, we could do that.
Michael Mayo – Credit Agricole Securities: And then as far as the mortgages today, you said the applications were down from the second quarter to the third quarter and you might have thought with QE3, the application volume would have increased. So what has the application volume down from the end of the third quarter until today?
John G. Stumpf: Let me pause your mortgage present for a minute. The pipeline at the end of the third quarter was down slightly from the end of the second quarter by, I think, $5 billion or $6 billion is still very high. Our mortgage volume in the third quarter was higher than in the second quarter and may be just gets into a little bit of the mortgage future. What we’re seeing so far this quarter is that volume is up.
Timothy J. Sloan: And remember we get out of the wholesale business from the third quarter.
Michael Mayo – Credit Agricole Securities: All right. So volume is up so far this quarter versus the second quarter, especially it would be good to the fourth quarter?
John G. Stumpf: I hope, if it continues.
Michael Mayo – Credit Agricole Securities: Okay. But the more general question for the future, you said this should last maybe a few more quarters as far as the mortgage boom in terms of the revenues, but then it falls off. So my question is, could you offset that falloff entirely through actions at the mortgage company or would that be where the diversified model comes into play and you would expect other business lines to pick the slack?
Timothy J. Sloan: Well, there is a lot of variables in the question you just asked. What’s the economy going to look like, where our interest rate is going to be? But I think what you’ve seen this quarter and not only what you’ve seen this quarter, but what you’ve seen for the last few quarters and the last year is that because we’ve got a diversified model, you’re seeing growth in a number of businesses. I can’t promise you that in the quarter that we see a decline in the mortgage business that everyone of those business is going to be able to pickup the complete slack. I hope it does, that’s what we’ve seen historically, when we’ve gone through these peaks and valleys in the mortgage business. But again, that’s the benefit of the model that we’ve got and that we’ve got other levers to pull, there is other horses that are pulling the stagecoach.
John G. Stumpf: And Mike, another thing you need to think about is 75% of our mortgage volume this past quarter was refinanced and 25% was purchase money. That’s still a very low overall purchase money market. As we see real estate continue to improve as refis ebb, we might see the purchase volume pick up. So that’s a natural offset. Furthermore as the purchasing volume or if rate rise and those things slowdown, then the servicing asset peoples were valuable. So we have all those things going on, besides the diversified model.
Michael Mayo – Credit Agricole Securities: But at the end of the day, even with the improving in the servicing asset, even with more purchase volume, even with the expense cut in the mortgage unit, chances are you’d still have to rely on some, as you would say, horses outside the mortgage area.
John G. Stumpf: Yeah, absolutely. That’s the exciting part. We free them all.
Timothy J. Sloan: Yeah.
John G. Stumpf: They are all pulling.
Michael Mayo – Credit Agricole Securities: Just last follow-up because this is the main question I think. How you manage to hand off from the mortgage boom to the time you cut the expenses? How do you know when to start cutting those expenses? What signs are you looking at?
John G. Stumpf: Well, the mortgage business, as you can imagine, this is not the first – we’ve in this a long time, we have terrific leaders there. And they see volumes on a – not hourly, but at daily basis and they have been very good at dialing up and dialing down to adjust to volumes. Now there is truly a fixed component there, but we’ve done this. This is not the first up or down we’ve seen in this business. We’ve seen many of those.
Michael Mayo – Credit Agricole Securities: But isn’t this time different, I mean if we had QE4 that could change your whole analysis right? Isn’t it…
John G. Stumpf: Well, you might get exactly right. We had – we didn’t know QE3 was coming and now we’re adding people. And if QE3 lasts, if the volumes last for 12 months versus six months, we will make adjustments up or down based on that.
Michael Mayo – Credit Agricole Securities: Are you able to say how many people you’ve added?
John G. Stumpf: I don’t think – no, we’d not say that, but we’re adding people.
Michael Mayo – Credit Agricole Securities: Okay. All right, thanks a lot.
Timothy J. Sloan: Thanks Mike.
Operator: Your next question will come from the line of Greg Ketron with UBS.
Gregory W. Ketron – UBS Investment Bank: Good morning.
Timothy J. Sloan: Good morning.
Gregory W. Ketron – UBS Investment Bank: Just a variation of all the mortgage questions that you’ve answered this morning. Kind of looking at the 2013 the MBA forecast calls for volumes to be off, you know maybe 20% to a size of 30%, I know that MBA forecast is about as accurate as a weather forecast. But if you look at that type of scenario are there things that you can do maybe on the pricing side or products side, and increase market share in light of the scenario that would have mortgage production coming down that much?
Timothy J. Sloan: Well, I mean, yeah, we can – you could always lower your prices and take up share, but I don’t know, necessarily think that’s a good – a good decision always going to be a good decision from a profit standpoint. And it’s a very competitive market out there, we don’t run the business based upon on share, we run the business based upon profitability. Our first call continues to be focused on our retail origination network and then also secondly our corresponding network. As you said, the MBA forecast it could be right, it could be wrong. I think everybody has been surprised that how long this refinance boom has lasted, as I said, we think it’s going to last for a few more quarters. And again, at some point, it’s going to slowdown. As John said, there might be a mix change, we hope there will be and there will be more purchase money mortgages. But again, the important thing is we’ve been through this before. This isn’t something that the folks in our mortgage business or the management team at this company hasn’t seen before in terms of cyclicality in the mortgage business and we will adjust to it.
Gregory W. Ketron – UBS Investment Bank: Okay. Right. And then in terms of the – I’m sorry.
John G. Stumpf: I would just add remember on our mortgage business, half of our business is through correspondence. So the adjustment we are going to make is really on a 16% share or something.
Gregory W. Ketron – UBS Investment Bank: Okay. Great. And in terms of what you are seeing maybe so far this quarter, we know, if you look at the primary to secondary mortgage spread that widened out quite a bit so especially after QE3 was announced. Is there – your sense that you are going to continue to see mortgage rates work their way down and maybe some pressure on that spread in the fourth quarter?
Timothy J. Sloan: I don’t know that answer to that. I mean clearly the spreads are attractive today, the costs are up too and the GC was up also. We are hopeful that the margins will continue to be at their present level, but it’s competitive out there. And I think the one thing we know from history in the mortgage business is that when you are at a high level of margin there generally tends to be more pressure down than up. And again, it’s competitive, but it’s a very attractive business for us to be in and we’re really pleased that we are originating one of every three mortgages that’s done in the country.
John G. Stumpf: And it’s also a very good deal for consumers, I mean consumers are getting bargained these days, if you look at the rates on the street. This is very – and this is probably the best time ever to buy a house. Most affordable.
Gregory W. Ketron – UBS Investment Bank: Great. Well, thank you very much.
John G. Stumpf: Thank you.
Operator: Your next question will come from the line of Betsy Graseck with Morgan Stanley.
Betsy L. Graseck – Morgan Stanley: A question on the nonperformers, it’s just another way of getting at the expense question, because obviously you’ve got carrying cost associated with the nonaccrual and foreclosed assets and I’m just wondering about how much more rapidly we could expect you would, try to bring this balance down. We’ve had a change in the short sale program from the FHFA, which I would expect would be one opportunity to accelerate this shrinkage, but maybe I’m wrong there? Maybe, if you could give us some color on what your thoughts are?
John G. Stumpf: Sure, Betsy, I think if you look at kind of that five quarter chart that we had in the supplement. You go back to the third quarter of last year, our total non-performing assets were about, I’m going to round you about $27 billion. The improvement over the last year has been pretty significant with the exception that we’ve had the OCC guidance in the first quarter, and then in this quarter that raised it. So what we’re seeing is $1 billion plus decline in NPAs more or less on a quarterly basis, absent that guidance and our expectation is that it’s reasonable to assume that that can continue.
Betsy L. Graseck – Morgan Stanley: But could you do anything to accelerate that?
Timothy J. Sloan: We could and we look at that all the time in terms of what’s the best economic return for the company, not necessarily driven by ratios. but, yeah, I mean and so not only do we look at working out loans on a loan-by-loan basis, but also in the past quarters, we’ve sold our packages of non-performing assets. and we’ll continue to look at that and if the economics are there, and if the economics get better than we could certainly accelerate that.
John G. Stumpf: Yeah, Tim is right about that. It’s based on economics; I mean we don’t feel there is any reason to do something that’s uneconomic. if that’s economic, that’d be terrific.
Betsy L. Graseck – Morgan Stanley: The short sale rule change anything in terms of helping you accelerate this or not really?
Timothy J. Sloan: Not really.
John G. Stumpf: Not really, because most short sales never get to the balance sheet, right. I mean if it’s many of those are done on behalf of our investors, and it’s so that will spend much time if at anything in your NPA area.
Betsy L. Graseck – Morgan Stanley: Great, okay, thanks.
Operator: Your next question will come from the line of Chris Mutascio with [Credit Suisse].
Christopher M. Mutascio – Stifel, Nicolaus & Co., Inc.: Good morning John, and Tim. how are you?
John G. Stumpf: Hey Chris, how are you doing?
Timothy J. Sloan: I’m fine.
Christopher M. Mutascio – Stifel, Nicolaus & Co., Inc.: I am doing well. I promise I won’t ask you the margin or mortgage question.
Timothy J. Sloan: I guess we’re pretty good at that.
John G. Stumpf: Thanks again.
Christopher M. Mutascio – Stifel, Nicolaus & Co., Inc.: You can do a debate I think given all the (inaudible). Looking at your cash and your Fed funds sold at the end of period, you’re almost up to $120 billion pretty darn close to 9% of your total assets. I understand you’d mentioned you’re more prudent in terms of reinvestment right now given where rates are? My question is, though it looks like you’re holding cash a bit though, are there any opportunities out there for a typical, the type of loan pool purchases you’ve made in the past. I think they kind of slow of late, are you seeing any type of ramp up in those opportunities out there?
Timothy J. Sloan: Yeah. you’re correct, I mean we didn’t have a medium-size or large acquisition we did this quarter like, we’ve had over the last few quarters. I wouldn’t necessarily conclude that that’s a trend that we won’t continue to see those. We still have a pretty robust pipeline of opportunities out there. And so we’re not necessarily holding cash to make sure that we’ve got the ability to do it, because even if we had $20 billion or $30 billion less the cash, we would be more than liquid enough to be able to accomplish an acquisition. We’re continued to be very focused on looking at good acquisition opportunities. we’re very pleased with what we’ve been able to accomplish in the last year. And we’re hopeful to see that we’ll continue to see those types of opportunities, but the pipeline is still there.
John G. Stumpf:
 :
Christopher M. Mutascio – Stifel, Nicolaus & Co., Inc.: All right.
John G. Stumpf: We didn’t pick that number per se.
Christopher M. Mutascio – Stifel, Nicolaus & Co., Inc.: All right. Thank you very much. Have a great weekend guys.
John G. Stumpf: Thank you.
Operator: Your next question will come from the line of Marty Mosby with Guggenheim.
Marty Mosby – Guggenheim Securities, LLC: Good morning.
John G. Stumpf: Good morning, Marty.
Marty Mosby – Guggenheim Securities, LLC:
 :
 :
John G. Stumpf: Marty, for this quarter, the resolutions were a little bit, were clearly lower than what we’ve seen in the last four or five, six quarters.
Marty Mosby – Guggenheim Securities, LLC: So, because I was looking at last quarter there, obviously elevated, but if you look back over time that would more than compensated with a little drop-off that you had in this quarter?
John G. Stumpf: That’s correct.
Marty Mosby – Guggenheim Securities, LLC: Okay. and then when you look at mortgage, one of the things that’s interesting to me is, as you look at the roll-off of the income that you’re getting there, one of the things that helps cushion that blow is in periods when you have higher revenue potential, you find ways to kind of offset that. So in other words, if you look at holding the mortgages, that would have lowered your revenues by like you said, a little bit more than $200 million.
 :
John G. Stumpf: Well, you’re correct, Marty, particularly as it relates to the decision to hold the conforming production, and keeping on balance sheet, and to have that income flow over a longer period of time during the term of the mortgages as opposed to recognize its gain on sale. So, yeah, I mean there’s no question that when you look at the mortgage business today is very strong.
Timothy J. Sloan: All of it’s not flowing to the bottom line because of the couple of things that happened in the sense of the servicing costs and holding the mortgages. So you could have recognized if, every quarter you’re not going to have servicing cost fee we have adjusted higher, that’s not something you normally do.
John G. Stumpf: I certainly hope, I hope that that’s correct Marty. But we did this quarter, we thought it was prudent to do it. But I hope we don’t have a repeat of that in the next few quarters.
Timothy J. Sloan:
 : If you look at the liquidity, when interest rates eventually begin to rise, which is when refi come down, you can deploy that at a much more advantageous time and create some positive there. So just on those two decisions that you tangibly made, there was about $0.04 of earnings in this quarter that helps future earnings down the road.
 : If you look at the liquidity, when interest rates eventually begin to rise, which is when refi come down, you can deploy that at a much more advantageous time and create some positive there. So just on those two decisions that you tangibly made, there was about $0.04 of earnings in this quarter that helps future earnings down the road.
John G. Stumpf: Marty, that’s a great summation of how we think about the company over the long-term. We’ve got to make good long-term decisions everyday as opposed to, let’s make a good short-term decision that doesn’t have a good long-term benefit. And so that’s exactly how we think about managing this company.
Marty Mosby – Guggenheim Securities, LLC: And, my past history is the way that this works the best is managing the quarters in which you have extra earnings for future investing into the future versus really taking the weaker quarters and trying to clock them off. You make the most traction in creating future earning streams taking those peaks and putting them out into future quarters. So I appreciate it. Thanks.
John G. Stumpf: Thank you, Marty.
Operator: Your final question will come from the line of Chris Kotowski with Oppenheimer.
Chris Kotowski – Oppenheimer & Co.: My question was actually asked about 12 different ways, so we can call it a day. Thanks.
Timothy J. Sloan: All right. Thanks, Chris. I appreciate it.
John G. Stumpf: Well, thanks everybody for joining us and your interest and the way you follow our company. We’ll see you at the end of the fourth quarter. Thank you very much. Bye, bye.
Operator: Ladies and gentlemen, this does conclude today’s conference. Thank you all for participating. And you may now disconnect.